Operator: Welcome to Diamond Offshore's Third Quarter 2015 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode. Following this morning's remarks, we will conduct a question-and-answer session. We do ask that while you pose your questions that you please pick up on your handset to allow optimal sound quality. Thank you. It is now my pleasure to turn the call over to Darren Daugherty, Director of Investor Relations. Please go ahead, sir.
Darren Daugherty - Director-Investor Relations: Thank you, Maria. Good morning everyone, and thank you for joining us. With me on the call today are Marc Edwards, President and Chief Executive Officer; Gary Krenek, Senior Vice President and Chief Financial Officer; and Ron Woll, Senior Vice President and Chief Commercial Officer. Following our prepared remarks this morning, we will have a question-and-answer session. Before we begin our remarks, I'll remind you that information reported on this call speaks only as of today, and therefore you are advised that time-sensitive information may no longer be accurate at the time of any replay of this call. In addition, certain statements made during this call may be forward-looking in nature. Those statements are based on our current expectations and include known and unknown risks and uncertainties, many of which we are unable to predict or control that may cause our actual results or performance to differ materially from any future results or performance expressed or implied by the statements. These risks and uncertainties include the risk factors disclosed in our filings with the SEC, including our 10-K and 10-Q filings. Further, we expressly disclaim any obligation to update or revise any forward-looking statements. Please refer to the disclosure regarding forward-looking statements incorporated in our press release issued earlier today. And please note that the contents of our call today are covered by that disclosure. And now, I'll turn the call over to Marc.
Marc Edwards - President, Chief Executive Officer & Director: Thank you, Darren. Good morning, everyone, and thank you for joining us on the call this morning. Today, we are pleased to report solid third quarter results. We recorded earnings of $0.99 per share for the quarter versus an impairment impacted $0.38 per share in the third quarter of 2014. Gary will drill down on the numbers shortly. But in summary, I can characterize our results as reflecting our ability to execute as it relates to both the operational performance of our fleet as well as on controlling costs. So allow me to first address the performance of our fleet. During the third quarter, our three drillships working in the Gulf of Mexico, the Ocean BlackHawk, Ocean BlackHornet and the Ocean BlackRhino, together delivered a combined operating efficiency of 99.3%. In other words, these rigs have come out of the yard and immediately gone straight to the top of our client's rig performance rankings. This is class leading and is an example of the Diamond difference. By focusing on project delivery to include our state-of-the-art in-house training center and systems, these brand-new vessels have surpassed our client's expectations and provided an exceptional revenue uptime for the third quarter. As previously announced, recall that the Ocean BlackRhino delivered its first well 30 days ahead of the drilling curve. Similar performance is being delivered by the other Black ships, and we expect more of the same across the rest of our fleet as our fourth and final newbuild drillship goes on contract with Hess near the turn of the year and starts contributing revenue for Diamond Offshore. So the ability to execute from a top line perspective is only part of the solution and what is rapidly becoming the most severe downturn for many decades. So while continuing to invest in training, maintenance and safety, we are also laser-focused on cost control. Earlier this year, we announced plans to control costs aggressively, and we took a charge related to restructuring and employee separation costs. We have taken the difficult steps of reducing variable pay and benefit throughout the company. And we have significantly reduced head count at onshore bases and at corporate facilities, including our Houston office. As we entered 2015, having secured what became the last significant term contract available for our final two newbuild drillships at $400,000 per day, we embarked on a strategic review of our cost structure. Following execution of this strategic plan at the end of Q1, the full benefit of such a cost reduction has now fallen through to the bottom line and is positively impacting results. As our Q3 numbers illustrate, we have been successful in reducing our corporate expense, SG&A and overheads by over 20% and continuing rig-based wage expense by in excess of 15%. Many of you will understand, salaries and wages form the majority of our rig operating expense. As we embark on our 2016 budget planning cycle, we are continuing to look for additional ways to positively impact the company's cash flow. These are difficult measures for any organization. But against this backdrop, we remain as focused as ever on continuously improving our safety performance. Earlier this year, we delivered the best quarterly safety performance in the history of the company, and we remain on track to deliver our best ever annual performance. So now turning to the market. We all know our industry is cyclical. But as we have been saying for a considerable period of time, this will be a long and a hard downturn, the likes of which we have not seen for decades. And over 12 months ago here at Diamond, we took the initial steps to prepare accordingly. We initiated a head count reduction. We increased our revolver. We were the first driller to retire assets in this cycle, and of course, we worked hard to successfully secure the Hess term contract for our last two drillships. The recovery in deepwater drilling remains well over the horizon and any green shoots that would indicate that the market is turning are a very long way out. However, allow me to suggest that as anemic as the market is, we see more activity in contracting rigs for mid-water than we do for the sixth-generation drillships, an asset class that will remain heavily oversupplied. This trend is apparent when examining the rise in the number of mid-water exploration drilling plan that's issued year-to-date here in the Gulf of Mexico at the expense of ultra-deepwater permits. So staying with mid-water, today, we have confirmed that the Ocean Guardian has been signed for a one-year term in the North Sea beginning in March of 2016 at a rate of $220,000 per day. This is a very attractive contract in a very competitive market. And while we do have a GAAP price to the commencement of work, we will minimize controllable cost during the warm stack period. Further, our client has agreed to pay a portion of the daily warm stack costs prior to contract startup. Additionally, we announced this morning that we have reached agreement with Petrobras to end the contracts on the Ocean Alliance and the Ocean Clipper as of October the 30, while concurrently adding 875 days of new term to the Ocean Courage at a rate of $380,000 per day, extending the contract term into mid-2020. The existing three-year terms on the Ocean Courage and Ocean Valor will remain at a rate of $455,000 per day, and a new term added to the Ocean Courage represents a backlog addition of $333 million. While we have ended contracts early for two rigs, one of which by merely two months, we have added a net backlog of approximately $242 million. In other words, for every $1 of backlog that we gave away, we have received an additional $3.50 in return. And we have maintained our dayrate for the remaining sixth-gen assets working for Petrobras. So, finally, allow me to share my observations from a visit which I made this past quarter to the Ocean Monarch as she was just commencing work in Australia. I am aware that Petrodata reports this rig as being of a 1974 vintage. Of course, the original hull was laid at that time, but I can assure you that neither we nor our client would agree with this characterization. The Monarch was redelivered from the yard in 2008 effectively as the new ultra-deepwater rig with an entirely new derrick, drilling package and crew quarters. We have added sponsons to the hull that have vastly increased all of the rigs' key capabilities such as water depth, hook-load and variable deck load. We have replaced much of this deal and the entire accommodation, so that even small details, such as the electric cabling, are all new. To the layperson, it doesn't even look the same in terms of dimension and size. This is an extremely capable rig in excellent shape, and our client could not agree more. The reason I bring this up is to reiterate that not all offshore drilling projects will be carried out by six-gen drillships. The conventionally moored assets that remain in the worldwide fleet will continue to offer the technologies that are needed in our client's operational portfolios for many years to come. Yes, we have scrapped 10 of our less-capable semi-submersible over the past year and many more have been scrapped across the industry. I think we will continue to see a bifurcation between the most complex projects requiring the newest generation assets and the large bulk of projects for which moored rigs are the most cost-effective solution. Diamond Offshore has a very good maintenance record on the assets in our portfolio. And when demand comes back, we think it will be across both ends of the spectrum to include the fourth-gen moored assets. With this in mind, I would not swap my fleet, my balance sheet, nor my employees for any others. I will now hand over the call to Gary to give further color on the financials, and then I will have some closing remarks. Gary?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: Thanks, Marc. As always, I will give a little color on this past quarter's results and then cover what is expected for the upcoming quarter. For the quarter just ended, we reported after-tax net income of $136 million or $0.99 per share. This compares to net income of $90 million or $0.66 per share reported in the previous quarter. The increase in earnings, quarter-over-quarter, was mainly driven by a significant decrease in rig operating cost, of which Marc has already discussed. I'll give a little more detail on that in a moment. Contract drilling revenues decreased from $617 million in Q2 to $599 million in Q3, primarily as a result of a number of rigs rolling off contract and failing to secure follow-on work due to the continuing depressed market conditions in our industry. These decreases were partially offset by a couple of rigs securing new work, specifically the Ocean Monarch, which began an 18-month contract in Australia in Q3, and the Ocean Victory, which began its new two-year contract with BP in Trinidad in the second quarter and earned a full quarter's revenue in Q3. Also, our third drillship, the Ocean BlackRhino, worked the entire quarter after beginning its initial contract with Murphy Oil and Gas in mid Q2. In addition, as Marc has already pointed out, revenues in Q3 were aided by excellent uptime on our high-spec rigs, as our three new drillships operating in the Gulf of Mexico had better than 99% paid uptime. But our two six-generation semis working for Petrobras in Brazil, the Ocean Courage and Ocean Valor, also turned in exceptional performances combining for a 98% paid uptime percentage for the quarter. When taken together, our five active six-gen floaters were on payroll and earning dayrate for 98.8% of the time during the third quarter of 2015. Moving on to the other lines on the income statement. First, contract drilling expenses for the quarter came in at $278 million, which was substantially below our guidance of $320 million to $340 million that we gave out in our last earnings conference call. A strong U.S. dollar, particularly in Brazil, was responsible for a portion of this favorable variance. But as Marc has previously stated, the primary factor contributing to our favorable expense results was that we executed on cost saving initiatives even above our expectations. These include targets that we set for ourselves to quickly reduce costs on rigs that rolled off contracts and controlling costs on operating rigs. We anticipate that we will continue these cost efficiencies on an ongoing basis and that will be reflected in my Q4 cost guidance that I'll give in a moment. As I've stated in prior earnings calls, after safety, cost controls and efficiencies have been and will remain among our top goals. Next, depreciation and G&A expense, at $118 million and $17 million, respectively for Q3 came in within our guidance. Interest expense of $22 million for Q3 2015 came in slightly below our guidance as a result of our ability to take a $3.5 million credit to that line on the income statement. This was due to the statute of limitations expiring in Q3 on a tax reserve related to a prior year that we've previously booked. And finally, our tax rate at 14.6% also was within our guidance range of 10% to 16%. Now, for a look at some of the items that will affect our financial performance in the upcoming quarter. Reflecting our ongoing cost savings initiatives, we expect rig operating costs to decrease for the fifth consecutive quarter. In Q4, we expect to report contract drilling expense between $255 million and $275 million. This includes approximately $10 million to mobilize the Ocean Onyx and Ocean Alliance back to the Gulf of Mexico. Offsetting that will be reduction in cost from the Ocean Baroness, which is now cold-stacked in the U.S. Gulf. As always, I remind everyone that I've been talking about the line on our income statement, contract drilling expenses. These numbers that I've just given you do not include costs incurred in the line, reimbursable expenses. Reimbursable expenses, whatever the amount incurred, will be offset almost dollar for dollar with additional reimbursable revenues. With regard to the other items on the income statement, we are again expecting depreciation expense to come in between $116 million and $120 million in Q4 and G&A expense to also remain at between $16 million to $18 million this quarter. Interest expense should rebound back to $25 million to $27 million, as we don't anticipate any unusual adjustments in Q4. As for taxes, based on current projections, we believe our tax rate for the fourth quarter will come in somewhere between 12% and 16%. Of course, any changes to the geographic mix and the source of earnings, as well as tax assessments or settlements or movements in exchange rates, will impact or effective tax rate. And finally, moving on to our capital expenditure guidance. We are slightly reducing our CapEx projections that we gave in our last quarterly update, estimating that we will now spend $280 million on maintenance CapEx in 2015 and $630 million in newbuild CapEx, which includes: the final 70% shipyard payment for our fourth newbuild drillship, the Ocean BlackLion, which was delivered in Q2; oversight costs for the Ocean GreatWhite, along with several other projects completed during the current year. Together, maintenance and newbuild capital expenditures are expected to total approximately $910 million in 2015. And with that, I'll turn it back to Marc.
Marc Edwards - President, Chief Executive Officer & Director: Thank you, Gary. Because of the severe downturn and demand for offshore drilling services, the rating agency, Moody's, recently downgraded most of the companies in our sector, and we are all collectively on negative outlook. However, Diamond Offshore remains investment grade at Baa2, and we share the highest credit rating within the offshore drilling space. Additionally, during the past quarter, we extended our revolving credit facility by one year to 2020, and we are positioned currently with a revenue backlog totaling approximately $5.7 billion. We continue to hold the view that the market will be characterized by a significant oversupply of six-generation drilling capacity well into 2017 and possibly beyond. But Diamond Offshore remains well positioned with our conservative capitalization, strong liquidity, and backlog profile. We will continue to execute on conducting safe operations, delivering quality performance for our clients, rationalizing costs, and utilizing our capital efficiently. And with that, we will now take your questions.
Operator: Thank you. Our first question comes from the line of Sean Meakim of JPMorgan.
Sean C. Meakim - JPMorgan Securities LLC: Hey. Good morning.
Marc Edwards - President, Chief Executive Officer & Director: Good morning, Sean.
Sean C. Meakim - JPMorgan Securities LLC: So I was just hoping to talk a little bit more about the improvement that you guys saw in terms of operating performance 3Q over 2Q. Does this indicate that the break-in period has already run its course and from here, while it's not a given, you'd expect the performance in 3Q to be mostly sustainable going forward?
Marc Edwards - President, Chief Executive Officer & Director: Yeah. The performance and the cost improvement that we've seen, Sean, is sustainable moving forward. This isn't a one-off. As I said in my prepared remarks, we embarked on a strategic cost review well over 12 months ago. We implemented it in Q1, and now we are seeing the benefit of those actions taken earlier in the year, so that the 15% improvement in rig-based salaries and wages is sustainable. In fact, we put over 15%. And, of course, the improvement in SG&A overheads corporate expense of 20% is sustainable. And as Gary gave guidance into Q4, this will be the fifth consecutive quarter of improving costs. So it is sustainable. This is not a one-off.
Sean C. Meakim - JPMorgan Securities LLC: No, it's definitely been impressive. Just thinking about with the Ocean Guardian announcement, how would you characterize negotiations in terms of pricing? Is there anything kind of specific to that contract in terms of its location, type of work that it's doing that you think helps contribute to where things shook out in terms of dayrate?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. Sean, this Ron. The work there with the Guardian, with Dana I think was a good outcome for us. Dana, of course had some more work required to get done and we're glad that we could propose a rig and are right on schedule which worked for them. So, I think overall that was a largely I think positive outcome for us.
Sean C. Meakim - JPMorgan Securities LLC: Okay. And then, I guess just the last question for me, just thinking about the outcome with Petrobras, would you be able to characterize your current situation as being relatively de-risked in terms of opportunities for further renegotiations or are they still – is the go forward still somewhat uncertain for parts of the fleet?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. Sean, again, this is Ron here. I think I'd agree with that broad characterization. I think the Petrobras renegotiation was a widely recognized force that we had to work our way through. In the end, we were able to meet needs that we have, meet needs that Petrobras had and take aside I think a large, I think negotiations to do for us. I think that was probably the biggest I think nail to pound back in the board.
Sean C. Meakim - JPMorgan Securities LLC: All right. Understood. Thanks. Appreciate the detail.
Operator: Our next question comes from the line of Waqar Syed of Goldman Sachs.
Waqar Mustafa Syed - Goldman Sachs & Co.: Thanks for taking my question. The question relates around some of the rigs that are still idle but not stacked or cold stacked like the Quest, America, Confidence, you continue to market them. Do you see any near-term opportunities or should we assume that in a few months you may reconsider and stack those rigs?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. This is Ron here. I think those questions make a lot of sense. If you look at the certainly the Quest, that's a rig which has done well for us in the past. But quite candidly, with the oversupply in the market I think that's going to be a while before she goes back to work. So from a modeling point of view, I think we'll see, I think a lower utilization in 2016. The America has undergoing some safety upgrades right now and we have no announcements today, but we continue to market her and I think we'll promote her good reputation in Asia and Australia. The Confidence – that is a tough one. We have been and continued to talk to operators about their interest in the Confidence. We're not making any announcements today, of course. But candidly, we acknowledge, it's going to be tough to contract her with a surplus of sixth-gen drillships in the market. We kept her cost to a minimum and we'll make – I think a more permanent call about marketing her versus stacking her in Q4.
Waqar Mustafa Syed - Goldman Sachs & Co.: Okay. And then, on the rigs that are cold stack, you have quite a few rigs now cold stacked, why not retire them now? Why keep them in the stacked category?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Well, Waqar, there's always an option on some of these rigs that is worth keeping for some time in the future. We'll make further decisions as to what we do with these rigs down the road, but as I've expressed before, every quarter, we look at whether we need to take an impairment or not. And suffice to say, during this quarter, we elected not to take a further impairment as it stands today. We'll relook at it in the next quarter.
Waqar Mustafa Syed - Goldman Sachs & Co.: And what would be the book value for these cold-stacked rigs?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: It's in the order of approximately $0.5 billion I would think.
Waqar Mustafa Syed - Goldman Sachs & Co.: Okay.
Gary T. Krenek - Chief Financial Officer & Senior Vice President: I don't have the exact number.
Waqar Mustafa Syed - Goldman Sachs & Co.: Okay. And then, just last question on any M&A opportunities either for single assets or for companies. You have a pretty good balance sheet. You could be a national acquirer of assets. So what are you thinking along those lines?
Marc Edwards - President, Chief Executive Officer & Director: Yeah. Another good question, Waqar. Look, we were the first in this downturn to retire assets, but we may not be the first to acquire assets. And valuing any distressed asset, you have to consider the future revenue stream. The most important factor in any valuation methodology is the first five years of revenue. It doesn't matter which tool is used and if revenue stream is uncertain over or near zero in the short to medium term, then it's not difficult to see why the seller buyer arbitrage is so wide at present. And in a market that is looking troubled for a good number of years with significant excess supply in the sixth-gen space, the price will need to be very, very attractive. One of the main responsibilities that I have for the shareholders of Diamond Offshore's future capital allocation and the proper goal accordingly is to focus on long-term value per share. So, buying distressed assets at current prices is not, in my opinion, maximizing future shareholder value. However, I'm not ruling out such as an option at some stage in the future. And really, the same goes for consolidation. One has to look at the balance between long and short-term contract coverage that is out there. And not all rigs contribute the same to EBITDA. But I had to say, our high-earning sixth-gen assets are all contracted through to 2019 and beyond. And we have no sixth-gen assets that we have to cold stack or defer delivery on. So, that's why I would say, I would not swap my fleet or balance sheet with any other. So, in essence, any acquisition would need to have a price which is very much more attractive than I think where we are today.
Waqar Mustafa Syed - Goldman Sachs & Co.: Great. Thank you very much.
Operator: Our next question comes from the line of Robin Shoemaker of KeyBanc Capital.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Thank you. Marc, I was wanting to ask you a little more about the bifurcation that you spoke about because as you know in many down cycles, high-end rigs work in mid-water at very low rates and especially given the high-stacking cost of ultra-deepwater rigs, you would expect that to reoccur. But you're signaling a different kind of phenomenon this time and I just wondered if you could shed a little more light on that.
Marc Edwards - President, Chief Executive Officer & Director: Yeah. Thanks for the question. I think we will see a further bifurcation in the market between the high-end sixth-gen fleet, and let's say, a fourth generation moored floater. As I've previously mentioned, more scrapping is needed, but from looking at what has happened already, this will really only help the fourth-gen market where we, as a company, are well positioned with relatively capable assets I might add. Having said that, we have demonstrated that our fourth-gen and fifth-gen assets have opportunities. In my last call, four of our seven fourth-gen assets actually started new contracts – about a number of months ago. We've previously announced the new contract for the Apex, is a very good rate for this market. And the Monarch, as I earlier referred to, has recently commenced work in Australia. The real problem is in the sixth-gen category where we simply have too much supply and there's no scrapping occurring in that category at this time. That's why, effectively, it's so hard to value, put a true value on sixth-generation assets at present, unless they have committed long-term contracts like our own fleet does. So if you look at – again, as I said in my prepared remarks, if you look at the number of exploration permits being issued in the Gulf of Mexico, they're all in the deep – well, they're primarily all in the mid-water space. And we've seen a lot of tenders coming out that are more specific for our moored fleet, whether it's in Australia, where there's quite a bit of activity right now, or certain other places. So a lot of people suggest that we're somewhat encumbered by having a more mixed fleet. I see it in a different way. We will see bifurcation and we're very, very comfortable with our fleet mix at this moment in time.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Yeah. It's an interesting phenomenon. So, one follow-up question. When you have these warm stacked assets like the Quest or the America, Confidence, and they're in a particular location, is the way the market works now with idle rigs available in essentially all markets, that the real opportunities you would pursue would be close to where that rig is actually sitting today and that mob cost and so forth would basically rule out moving to another market or bidding that rig into West Africa or somewhere else.
Ronald Woll - Chief Commercial Officer & Senior Vice President: Robin, this is Ron. I think that's largely true with the surplus of assets. I think coming to terms with the mobilization cost that's hard to make that work in economics. And so, where you got surplus in regional markets I think that plays pretty heavily into decision making on what rigs end up where. So, we've seen I think less cross regional moves because of that.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Yeah. Okay. Well, thank you.
Operator: Our next question comes from the line of Ian Macpherson of Simmons & Company.
Ian Macpherson - Simmons & Company International: Good morning. Congratulations on the quarter.
Marc Edwards - President, Chief Executive Officer & Director: Thanks, Ian.
Ian Macpherson - Simmons & Company International: We've covered the Confidence and the America and the Quest, but also you've got the three rigs rolling this quarter, right, the Onyx, Endeavor and Valiant, and I wonder if any of those have decent visibility for follow-on work with the current customers or future customers?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Ian, thanks for that question. This is Ron. So, let's talk about kind of each of those here. So, the Onyx, following her work with DG (31:10), I think we're going to have to focus on minimizing her costs during this phase of the oversupplied market. That's just a reality. We do see a future for the rig I think when the market does tighten up. And candidly, her good performance and low operating cost favors some budget-minded programs. So, look for that rig in the future. But I think you've got to be realistic here in the short term. The Endeavor, of course, she's working for Exxon; to date, good feedback on her performance. Her work case was just passed the start of the year. Exxon has not announced or declared any additional scopes of work for the Endeavor, so we have nothing to announce there today. I think you can expect us to clarify the outlook on Endeavor between now and year-end. And thirdly on the Valiant, doing well for Premier today. Again, good feedback on how she's drilling. I think in contrast to the Onyx and Endeavor, though, I'd be a bit more, I think, optimistic on what we see for her in 2016 in terms of her work in the UK. Nothing specific to talk about but that's one we have, I think, just a bit more traction around operator interest.
Ian Macpherson - Simmons & Company International: There's more demand in that region, you mean?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. There is more. It's not the kind of long-term programs that we've just kind of enjoyed in the past. But we're seeing good, honest, I think, short to medium term scopes of work, and the Valiant is doing well there – good reputation, the operators like her. And so that's one where we continue to put some energy into.
Ian Macpherson - Simmons & Company International: Okay. Thanks for those answers. And you also mentioned in the beginning of the call that Dana will be paying part of the Guardian's pre-startup warm stack costs. Is that included in the $220,000 dayrate that you've reported? Or would that be above and beyond that?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. Ian, it's Ron again. That is not included in the $220,000 that's above and beyond.
Ian Macpherson - Simmons & Company International: Okay. And then last one for me if I can. Marc, you've talked a little bit in the past, recent past, about the merits, at least hypothetically, of a next generation newbuild as opposed to buying a sixth-gen rig that's idle, that looks cheap but might not, as you say, have a clear value without any demand prospects. Any progress on that idea or do you think it's just more of an abstraction at this point?
Marc Edwards - President, Chief Executive Officer & Director: Okay. So, thanks for the question. Look, I would suggest that there is not much more the drillers can give away to E&P companies in terms of dayrates. In the current oil price environment, with the excess supply in fifth and sixth-gen assets. We're struggling to put rigs to work at even cash cost and this is obviously not sustainable. So, you really have to look at the structure of the deepwater industry itself and address efficiency, capital efficiency for ourselves and our clients. We have to lower the costs and shorten the cycle time. In my prior life, this is exactly what we did for the unconventional shale developments here in North America. We need to take a similar approach to deepwater drilling. So, suffice to say, I have a lot of very capable people here at Diamond working on a floating factory concept. Obviously, we can't address cost savings, let's say, relating to umbilicals or top sides, no right of penetration. But we can address the 80% of the time a rig is over a well without the bit turning. The opportunity is significant and the savings could be material. The industry successfully took a factory approach to solving unconventional shale economics. We need to do the same to deepwater. But in terms of – well, let me express it this way. We at Diamond know what we want to do in terms of the floating factory concept. But I bring you to the capital allocation conundrum in terms of what we're likely to do. I think this is where your question is really pointed. And the correct answer is that it depends based on price and value of alternatives, or all of which we will continue to monitor as they track lower. Our industry is somewhat self-correcting. There is a price for a distressed asset that meets double-digit WACC hurdles with lower dayrates and this needs to be compared with efficiency gains from the floating factory which, we believe, are material. So I'm not going to declare at this stage on what we're going to do. Suffice to say, we're looking at all opportunities and there is a possibility we might have somewhat of a hybrid strategy moving forward.
Ian Macpherson - Simmons & Company International: Very good. Thanks, Marc.
Operator: Our next question comes from the line of Gregory Lewis of Credit Suisse.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Yes. Thank you and good morning.
Marc Edwards - President, Chief Executive Officer & Director: Good morning.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Over the last couple of months was – and this is regarding the GreatWhite. We're seeing some issues with shipyards unable to deliver the rigs on time and that's resulted in contract issues. You mentioned earlier that we are spending some money on the rig oversight of that rig. If you could just give us any sort of update. Is that rig on schedule, ahead of schedule? I mean, it's still a year out, but it seems like this is generally when we've seen issues start to creep in with rigs that are eventually delayed. So just any sort of update on that, I think, would be pretty helpful.
Marc Edwards - President, Chief Executive Officer & Director: Yeah. Sure. Look, we're all watching what's happening in Korea today with a lot of interest. The GreatWhite was scheduled for delivery at the end of this year. That's not going to happen. But with our own experience from working with a particular shipyard involved on the delivery of the drillships, we factored somewhat of a delay into the delivery itself when we contracted the rigs with our client. If you look at the particular stage of where the GreatWhite is today, and compare it with where we're at with the Black ships, we are very confident that the rig will be delivered, let's say, April, May next year. We've communicated that early with our client, and they are very comfortable. I believe that they've actually publicly announced that they will commence drilling around October, November in Australia. So, as it stands today, even with a delay that's factored into it, even with the commitment that our client has publicly stated regarding start date of the rig. We're not concerned about the contract being canceled or us having to relook at the delivery date from the shipyard itself. So, at this moment in time, we are comfortable that the rigs will be delivered in time to meet the obligations that are required from our client to commence drilling in Australia. But obviously, we've got a keen oversight on the rig.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Okay, great. And then just, Ron, and just a little bit more color on the expansion on the Courage. Just as you look at that and make adjustments, I mean, it look like the implied rate is somewhere in the $270,000 or $280,000 range. That rate seems pretty good given the environment of rigs going idle. Yeah, you gave up a little bit on those two rigs that the contracts terminated earlier, but were you surprised at the dayrate on that rig?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah, Greg. Good topic, important win for us. And, of course, Petrobras also liked the outcome. From our standpoint, having the rig extended at $380,000 per day I thought, was a pretty good outcome. Marc mentioned as a backlog multiple, we certainly earned back a lot more than we gave up. And for Petrobras, I mean, we comprehend why they had some and have some short-term pain in 2015 and 2016. So, that's the trade that we made. I think we were quite pleased to have not traded away dayrate on the existing term. I think that was an important, I think, point for us and Petrobras recognized why that mattered to us. It was a good trade. And although I get the algebra on the implied dayrate calculation that you mentioned, but we looked at it as a $380,000 rate for added term on the back end, and we both came away, I think, liking the deal.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Okay. I mean, even at $275,000, it seems like at an implied rate still good.
Marc Edwards - President, Chief Executive Officer & Director: Yeah. And again, I know how the algebra kind of takes you there. But, we certainly think of it as $380,000 on the back end and preserving the existing rate for the current scope of work.
Gregory Lewis - Credit Suisse Securities (USA) LLC (Broker): Okay, guys. Hey, thank you very much.
Operator: The next question comes from the line of Lukas Daul of ABG.
Lukas Daul - ABG Sundal Collier Norge ASA: Thank you. Good morning. Guys, I had a question on your comments around the tendering activity in mid-water and ultra-deepwater. Can you talk a little bit more about what is driving oil companies to sort of be more active in mid-water as opposed to the ultra-deepwater at the moment?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah, Lukas, this is Ron. I think what you see there is that longer term, operators recognize that deepwater – mid-water will continue to be part of their overall portfolio. And even though the economics are challenging, I think today, but there's a whole life cycle, I think, that operators have to manage. And so, they continue to acquire interest in stakes in different properties so they can continue to develop them over time. And so even though, again, we're on a tough, I think, spot right now, the operators want to keep feeding in mid-water, I think, parts of their portfolio. And we will continue to serve those over time. So, it speaks well to long term the kind of fleet mix that Marc talked about.
Lukas Daul - ABG Sundal Collier Norge ASA: All right. And then looking at the overall drilling costs from the oil company perspective, obviously, rates have come down in excess of 50%. But what would you say has been the decrease in the overall rig spread that the oil companies are bearing?
Marc Edwards - President, Chief Executive Officer & Director: Yeah. I think the rates on the spreads themselves, obviously, haven't come down as much as the dayrate on the rig itself. I think you're probably looking at currently 15% to 20% across the rest of the deepwater space. Is there more to come? Positively, I think perhaps maybe the average breakeven point for deepwater was around the $85 rate. I think you're going to see another $15 coming off of that. You see unconventional. It's more transactional, and, therefore, if we look at competing against unconventional certainly here in North America, that cost could come down much faster than we can bring costs down in deepwater. And that's why we at Diamond are looking at this floating factory concept to see what else we can do, other than just imply lower dayrates, because that's not just the answer. I'll bring up a point here that we're looking at in terms of the long-term prospects for deepwater. And I think some of – there is an overemphasis on the 2020 or similar future strip calling for a price that's still in the $65 a barrel range when really the elephant in the room is a combination of oil intensity of the economy, economic growth, decline curves, geopolitical risk, whatever you want to say. And well, I say this because one of the larger investment banks has recently published a very detailed and perhaps the most comprehensive report of the year looking into the melting pot that governs the price of oil and has some interesting conclusions. And suffice to say that we also would be surprised to see a $65 price in 2020. I think the price would be higher than that. And I think deepwater will come back once we've implemented further cost savings as to how we deliver these projects over the next two to three years. And I think we'll be looking at a very different market, but it's not going to happen today. So, I hope that that will answer some of your queries there.
Lukas Daul - ABG Sundal Collier Norge ASA: Yeah. Thanks. And just finally, when talking about new contracts with the operators, have you sort of experienced that they are more scrutinizing the financial health of the contractors?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. This is Ron. The short answer is yes, they are. And quite candidly, we know that customers are taking a very close look at who can survive this market cycle. And we've received some pretty, I think, favorable feedback on the confidence that they had in Diamond with our strong balance sheet to make it through this market. And they know that we'll navigate through this cycle. And that during the cycle, we'll stay focused on training and spares and maintenance and operational excellence, things that are important to high performing drillers. And so, this is coming up as an increasingly important theme as we talk to our customers.
Lukas Daul - ABG Sundal Collier Norge ASA: All right. Thank you, guys.
Operator: Our next question comes from the line of Dave Wilson of Howard Weil.
David Thomas Wilson - Scotia Capital (USA), Inc.: Good morning, gentlemen. Thanks for taking my questions. First, on the fleet and planned downtime for 2016, I notice you haven't put anything yet in the fleet status report, and I know that can be in flux given where we are in the budgetary process. But could you at least identify what rigs might have some planned downtime in 2016?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: Hey, Dave, it's Gary. You're right, we're still going through the budget, but at this point, it's questionable whether we're going to have anything for planned downtime.
David Thomas Wilson - Scotia Capital (USA), Inc.: Got it. All right. And then, Gary, just as a follow up. On your cost guidance, the $255 million to $275 million, that includes $10 million in mob costs?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: That is correct.
David Thomas Wilson - Scotia Capital (USA), Inc.: And so, what kind of a run rate going forward is kind of the $245 million to $265 million, just from an operating standpoint?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: It's going to depend on the activity of the rigs. We have some cost for the Alliance and the Clipper in Q4. We shouldn't have that in Q1, so it could come down again in Q1. But we'll see what we'll have when we evaluate everything.
David Thomas Wilson - Scotia Capital (USA), Inc.: Okay, great. Thanks. I'll turn it back.
Operator: Our next question comes from the line of Judson Bailey of Wells Fargo.
Judson E. Bailey - Wells Fargo Securities LLC: Thanks. Good morning. Question for Gary. Gary, with – as a result of your cost coming down quite a bit here over the last few quarters, can you maybe help us recalibrate your operating costs or operating cost assumptions for our modeling purposes for some of your major asset classes? I'm thinking of the drillships in the Gulf of Mexico, and maybe now the two remaining ultra-deepwater semis you're going to have in Brazil?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: Yeah, Jud. We're looking at the big drillships in the Gulf. They have an operating cost of around $160,000 a day. But we also have amortized mob that has to go into that. So, once you add that in, it comes back to the $175,000, $180,000, something like that. And then in Brazil, those costs have come down; one, because of the cost initiatives; and then two, because of the strength of the dollar against the Brazil currency. And so, those costs are somewhere also in that $170,000, $180,000 range. They had been over $200,000 a day to $220,000.
Judson E. Bailey - Wells Fargo Securities LLC: Okay. And then last one – or the next one I was going to ask about, the Guardian or just kind of your UK mid-water semis cost point there?
Gary T. Krenek - Chief Financial Officer & Senior Vice President: Cost point, somewhere in the $60,000 to $70,000.
Judson E. Bailey - Wells Fargo Securities LLC: $60,000, okay. And then my follow-up question is just thinking about Brazil as a market for Diamond, you will be down to two working semis. Can you maybe talk us through how can that impact maybe your shore-based costs in that region? Can you start eliminating some bigger cost in that area and maybe move them back to the U.S. or when you're down to that low of a number of rigs working, can you help us think through does that help you eliminate some of your shore-based costs down there further?
Marc Edwards - President, Chief Executive Officer & Director: Yes. It does. It does, Jud. We already started working on reducing our shore-based costs in Brazil, a good number of quarters ago. We've actually done two tranches of cost reductions there. And in actual fact, we started rightsizing for a two-rig operation, probably about three, four months ago. So we're well into that process. As the international players pick up in that part of the world, we're looking at what other rigs we might take in there. So, I think, an earlier question came is, do we believe any of our other contracts are at risk? I think we're done with Petrobras. I think they're very comfortable in terms of what we've negotiated and what they've negotiated. It is a win-win for both parties. And I don't see any more risk there for our backlog. And indeed, I think actually, there is an opportunity to take one of our other assets in there in possibly a couple of years. We're already in dialog. So, I think from a Diamond Offshore perspective, we're looking at, in the long run, increasing our fleet once again down there rather than taking it back any further.
Judson E. Bailey - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Our next question comes from the line of David Smith of Heikkinen Energy Advisors.
David C. Smith - Heikkinen Energy Advisors: My questions have been answered. Thank you.
Operator: Thank you. Our final question will come from the line of Mark Brown of Seaport Global Securities.
Mark Brown - Seaport Global Securities LLC: Hi, gentlemen. I wanted to ask just on your – how you think the sixth-gen asset demand will come back? Do you think it will recover by 2019, 2020 when your new drillships come off contract? Are you considering potentially blend and extend type of arrangements in advance of that if you don't think it will have recovered by then?
Marc Edwards - President, Chief Executive Officer & Director: Yeah. Thanks, Mark. Look, geopolitical issues aside, the ultra-deepwater market will remain particularly challenged through, in our opinion or my opinion through at least the end of 2017 and possibly into 2018. So, I would be surprised if by the time our current rigs come off contract in 2019 and 2020 that the market has not turned somewhat. You can't escape the fact that at this year-end there will be over 40 capable assets looking for work with more to be delivered next year and many without a contract. This number could double over the next few years. There are not many drillship tenders available today nor will there be in the next few quarters. If you look at our clients and what they're signaling vis-à-vis 2017 CapEx, and you look at the current availability of contracting on the sixth-gen assets, along with the cycle time and projects sanctioned to – rigs actually commencing operations, then we are looking at a recovery that we believe does not materialize for these assets prior to 2018. But, as I've stated before, and not by accident, by the way, all of our high EBITDA contributions, sixth-gen assets on contract through to 2019 and beyond to include what we believe is a win for us, the additional $333 million of backlog we have announced at a rate of $380,000 a day for the Ocean Courage. And for those with a more diversified fleet, for example, capable moored fourth-generation assets, the recovery may come sooner, where excess supply will be less if we continue to see more scrapping in this particular space.
Mark Brown - Seaport Global Securities LLC: Okay. Well, thank you. And then just on the moored semi market overall, how do you see demand evolving next year or the year after that? Do you believe it will decline somewhat, but not as much as the ultra-deepwater or do you think it will maintain some more resiliency and maybe flatten?
Ronald Woll - Chief Commercial Officer & Senior Vice President: Yeah. This is Ron here. I think to kind of echo some of Marc's comments there, we certainly see in the sixth space, the oversupply will keep that in sort of a tough sector for us, for anyone competing. But in the mooring space, candidly, there is – that's a smaller, I think, slice of the market in terms of what's out in the oversupply. And so, in fact, there's probably, maybe not in the short term here, but if you think through the second bounce of the ball, you could see some ways to see a more – slightly more optimistic scenario. I think we're not prepared to call it a sort of – we're not prepared to say that improves it quickly, but you can see a scenario where, in fact, enough supply comes out and the demand stays reasonable, where that market tightens up perhaps faster than a sixth-generation drillship slice will.
Mark Brown - Seaport Global Securities LLC: That makes sense. Thank you very much.
Marc Edwards - President, Chief Executive Officer & Director: Okay. Well, folks, thank you for participating in the call today and we look forward to speaking with you again in the next quarter.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may now disconnect and have a great day.